Operator: (Operator instructions) I would now like to introduce today’s conference host, Ms. Diana Reardon, ma’am you may begin.
Diana Reardon: Thank you. I would like to welcome everybody to our first quarter call. My name is Diana Reardon and I am Amphenol’s CFO. I am here together with Martin Loeffler, our CEO and Adam Norwitt, our COO. The first quarter results were released this morning and I will provide some financial commentary on the quarter. Martin will then give an overview of the business and current trends and we will then have a question and answer session. The company had a great start to the year with an excellent first quarter exceeding the high end of the company’s guidance in both sales and earnings per share. Sales for the quarter were $771 million, up 18% in US dollars and 15% in local currencies over the first quarter of 2007; from a sequential standpoint, down 1%, a strong performance and a seasonally softer quarter. Organic sales growth, excluding acquisitions and currency impacts over Q1 of the prior year, was approximately 12%. During the quarter, the company completed the acquisition of a French manufacturer of value added interconnect products and electronic packaging solutions for the aerospace market with aggregate annual sales of approximately $28 million. We are excited about the growth potential that is created by this excellent addition. Breaking down sales into our two major components, the interconnect segment which comprised 91% of sales in the quarter, was up 20% compared to last year. Interconnect sales increased in all of the company’s end-markets. Our cable business which comprises 9% of our sales was up 6% from last year as a result of increases in broadband cable television markets. Operating income for the quarter was strong at $150 million compared to $123 million last year. Operating margin was 19.5% compared to 18.8% last year. The margin improvement relates to increased margins in the interconnect business. From a segment standpoint in the cable segment, margins were 11.8%, down from 12% in the first quarter of 2007, primarily as a result of the impact of higher material cost. The company is implementing price increases on certain coaxial cable products of 7% to 8%, effective in late April, in response to the significant continued increases in material cost. In the interconnect segment, margins were 21.9%, up 60 basis points from last year. The achievement of these strong margins in the company’s interconnect business reflects the continued focus on the introduction and growth of higher margin performance enhancing interconnect products combined with a very strong focus on all elements of cost. Overall, we are very pleased with the company’s margin achievement in this challenging cost environment. Interest expense for the quarter was $9.9 million compared to $9 million last year. The increase over the prior year relates primarily to higher average debt levels from the 2008 quarter, reflecting borrowing to fund stock purchases in the first quarter. Other expense was $2.1 million compared to $3.1 million in the first quarter of ’07 and $3.5 million in the fourth quarter of ’07. The decrease from last year relates primarily to decreases in fees on the company’s accounts receivable securitization program and higher interest income. The decrease from Q4 relates primarily to a reduction in minority interest expense resulting from the Q4 purchase of the minority stake in one of our Korean units. The company’s effective tax rate in the quarter 29.5%, the same effective tax rate the company had for the full year 2007. Net income was $97 million, approximately 13% of sales and an indication of our excellent profitability. On an industry comparative basis, profitability continues to be very strong. Diluted earnings per share for the quarter were $0.54 per share up 26% from last year. During the quarter we generated a very strong cash flow from operations of $110 million. This cash flow from operations along with a $127 million in borrowings under the company’s revolving credit facilities and $3 million in cash was used to fund capital expenditures of $20 million, a $144 million of stocks repurchase, $70 million of acquisition related expenditures about 2/3 of what is related to payment of liabilities recorded for acquisitions that closed in the fourth quarter of 2007 and $2.7 million in dividend payments. The balance sheet is in good shape. Receivable day sales outstanding were 66 days at the end of March, down from 69 days at the end of December. The translation impact of the weaker dollar added about one day to the DSO balance at the end of March. Excluding acquisitions, inventory increased 7% from year end to about 87 days, up from 80 days at the end pf December. The translation impact of the weaker dollar added about one day. The remaining increase in days relates primarily to increases in inventory relating to the company’s military and industrial markets in support of sales levels. In addition to the advanced purchase of certain materials in the quarter in anticipation of a continuation of higher commodity cost. Debt was $853 million at the end of March compared to $723 million at year end, reflecting borrowings to fund the stock buyback in the quarter. In the company’s leverage and interest covered ratios remained very strong at 1.3 times and 16 times respectively. EBITDA, the quarter was approximately a $178 million and we had a $148 million of availability under the company’s revolving credit facility at the end of the March. Receivables sold under our securitization program remained the same at $85 million. Orders in the quarter were $806 million, very strong book to bill ratio of approximately 1.04 to 1 in the quarter. Certainly from a financial perspective, it was an excellent quarter. Martin will now provide an overview of the business and current trends.
Martin Loeffler: Thank you very much Diana and good afternoon! Welcome to our traditional conference call at the time of our earnings release. I am very pleased that we also to have Adam Norwitt with us. He has been the President of the company as you all know since the beginning of last year and has over that period of time very much focused on leveraging our worldwide capabilities among the group so that we can offer a complete, advanced technology offering to our customers. In addition he has focused very much on our acquisition program and as a result of this, we have made a few acquisitions over the last few quarters. He will be available during the question and answer session to answer any question you may have in the trends of the business and relative to acquisitions. Before we get to this question and answer session, I would like to give some highlights on our first quarter results and achievements, discuss the trends and how our various markets segments did we serve, and comment on our guidance for the rest of this year 2008, and more specifically for the second quarter of this year. First some highlights, we are extremely pleased with the strong start in 2008. First quarter results were clearly strong in all respects. We continued our long term trend of achieving industry leading growth and profitability. As Diana mentioned, our sales increase has been very strong, 18% growth over the prior year. And taking acquisitions and currency effects out, a 12% growth is extremely strong growth in the current demand environment which is really moderate, as well into certain markets that we are involved in every regions of the world. We have been able to achieve the growth on the broad basis across all our served markets in all geographic regions which gives us true balance in our business. The strongest growth we achieved in mobile devices, in the mobile infrastructure market as well as in the military and commercial aircraft markets. We are very pleased with this broad based growth geographically as well as in our end markets. There are three major driving forces towards this going growth in this environment. One is that we believe that we continue to gain position through our strong focus on advanced technologies across all our served markets. We are bringing and developing performance enhancing interconnect solutions to our customers, who then can develop and promote to their customers a higher performing equipment on networks as well as moving upwards in a compatible fashion to grow into a higher performing equipment. We are benefiting also from our broad global presence. The broad global presence becomes even more important as certain countries may have slower growth than others. And that is due to our global presence, we are anticipating in those markets where there is strong growth that offsetting some of the areas where there may be slower growth. Especially we see strong growth in the emerging markets like India, Russia, South Africa and other areas of the world. A third driving force is certainly our successful acquisition program where we continue to add small and medium size companies that add technology or geographic presence. In the first quarter, as Diana mentioned, we added a very fine company, a French manufacturer of interconnect solutions and electronic packaging for the aerospace industry. That company is very much focused on their French customers at this point in time and Amphenol can clearly add an expansion opportunity outside of France into Europe and other countries around the world with an excellent capability that that company offers to its customers. We are very excited about the growth potential and the nucleus for that kind of value added capability that that company’s name brings to us. In general the pipe plan of acquisitions remains strong. Timing though when closings or completions can be achieved is very hard to predict so therefore, we never include any of these acquisitions in our outlook. Profitability and cash flow also remains strong in the first quarter. Our margin expanded as Diana mentioned to 19.5% over last year despite a continuing very challenging cost and pricing environment. EPS increased a very strong 26% over prior year to $0.54 a share. And cash flow remains strong at a $110 million. And we continue to apply that cash to its value creating opportunities, including capitals for new products which is a major focus of the company as well as acquisitions in this quarter especially a stock buy backs. The strong profitability we believe is a direct result of our excellent operating leverage on incremental sale. It is also a result of our focus on value added opportunities and the higher end markets that we are serving. It is also a result of our continued scrutiny of all elements of cost. Let me now talk a little bit about the trends in the various markets that we serve. The overriding theme why we have strong growth again is our focus on technology, performance enhancing interconnect solutions that we continue to develop and our strong global presence that allows us to participate in markets that have strength. The first segment the military airspace market, which represents a 20% of our sales, had a very strong sales increase of 17% over the prior year. Demand remains strong and healthy, supported in part by major military equipment deployment such as ground vehicles, missiles and weapons systems, the very broad participant in that market and our confidence that the strength will continue and enhanced further by the increase in new commercial aircraft production throughout 2008. Even if we have all heard about the delay of the 787 aircraft, where we have a strong content, we have such a broad participation that this delay will not have any material impact on the continued strength in that market segment. As we see other companies like Bombadier as well as MUEA on their regional charts as well the airbus going very strong. In industrial market, which represented 13% of our total sales, we had an increase of 14% over prior year. We continue to benefit from our focus on the discrete growth segments in this market. We are primarily focusing on the rail market, oil and gas, power application as well as the medical market. And all of these markets have seen very good growth. In addition, we feel that the increased use of electronics in industrial equipment, where previously electro connections have been used or power connecters have been used, is also a driving force for a continued strength in this market in the future. The automotive market has represented 8% of our sales and grew a strong 15% over prior year, which was essentially driven by ramp ups of some new products and we continue to be confident in that market place, even if total car production may go down because we have gained some new customers which will ramp up later in the second quarter and the third quarter of this year. So again in automotive, we feel that there is a positive trend for Amphenol as we gain some position. And we are excited about the long term as increased electronics in the car will certainly benefit Amphenol in the future. To open communications market, over hybrid fiber coax networks represented 10% of our sales. Most of our sales in this market is represented by our cable products. The sales increased 11% over prior year which was in line with our expectation in which seasonally usually flow up in the period. As we all know the cable product has a very large content and material as a percent of the total cost. And with the continues increase of the material cost and sustained higher level of material cost, we are following a lead price increase in April and May with approximately 7% to 8%, which we have not only announced but we are implementing as we speak. We expect the demand to somewhat improve in the second quarter from a seasonal stand point but also driven by the continued success of the multiple system operators with there new products and services. The IT and data communications segment represented a larger segment of Amphenol with 24% of its sales. And the sales increased to a strong 10% over prior year. In a relatively moderate environment especially in the enterprise market, the carrier market is somewhat stronger and it was driven primarily by new customers and new product ramp ups. We’re building and continue to build on our distinct competitive advantage offering a complete interconnect system architecture. We have been talking about this several times already but some of the next generation products which are coming out this year will have increased contents significantly over prior periods since we have a broad TCS on board. So finally after two years digestion period, this results will come through and we’re very pleased with this. And that only gives us also confidence for the future in this market segment. The mobile network market represented 13% of our sales and had a very very strong growth of 28% over the prior year in a market that was actually moderately growing. If we look at the growth of our customers, they are in single digit areas and we achieved a strong growth. Where it is coming from? Well, we are participating very strongly in two areas. One, on low cost base station platforms that have high demands today and we have good content on those as well emerging markets. Emerging markets are essentially driven not so much by base station production, but driven by the deployment of mobile infrastructure and installations, where we are increasingly strong participant with our antennas; as well interconnect cable assembly, as well as other connective devices that we have been supplying into this market. We are encouraged by our presence in that market and our achievements in that market .And from a long term stand, we belief this will be a strong market as the subscriber growth will continue especially in the emerging markets and new networks, higher performing networks, are being developed and are going to start to be deployed over the next several years. In mobile devices, our growth or our presence there was about 12% of our total sales. And sales increased to a strong 45% over the prior year, traditionally a seasonally slower quarter. The drive and the growth was truly driven by advanced technologies as well as by the participation on a number of well selling mobile devices across a broad customer base. I am very pleased with the technology that we can bring to our customers that help us to grow significantly above markets. Looking into the future, we are excited about new design wins in this markets as well and gives us confidence truly that 2008 will be a strong market. The mobile device market will be strong for Amphenol. So in summary, we are very proud of our organization as we continue to execute well and to achieve superior growth and profitability in a truly challenging environment. We continue to see strength in our business despite the generally moderate demand environment and a broadly reported economic uncertain climate. In such an environment we believe our distinct competitive advantage will serve us well moving forward. Our increasing presence with our customers in the various markets, our leading technology, our strong worldwide presence, our lean cost structure, and most importantly, our entrepreneurial management style will drive strong performance into 2008. While general economic conditions are uncertain and while we remain very alert to any changes that may occur in the markets that we serve, we are confident in our ability and the ability of our organization to take advantage of the many opportunities in front of us. As a result of this we are confident to raise our outlook for the full year 2008 and expect the following in sales and income for the full year. We expect for the full year sales in the range of $3.213 million on the lower end to $3.258 million on the high end, an increase of about 13% to 14% for the full year over last year. Our EPS, we expect in the range of $2.26 to $2.31, an increase of 16% to 16% over 2007. I would like to point out that both in sales and in EPS, the low end of our new guidance is meaningfully about the previous high end of our guidance that we gave a quarter ago. For the second quarter 2008, we expect a expect sales in the range of $805 million to $820 million. I truly love these numbers. This is going to be a new record for the company’s history to get over $800 million in the quarter. I remember the time when the total company does not even have the sales of that level so it is really exciting for Amphenol! EPS we expect in the second quarter in the range of $0.57 to $0.59 a share, a strong increase over the first quarter performance. We are very encouraged about our past achievements but we are equally excited about our potential to continue to create value. With this I would like to open it up for any questions that you may have at this point. Thank you.
Operator: (Operator Instruction) Our first question comes from Amit Daryanani - RBC Capital Markets. Please go ahead.
Amit Daryanani - RBC Capital Markets: Thanks a lot and good afternoon guys. Looking at your organic growth, I mean you got a 12% organic growth this year. When I looked at the full year guidance and kind of back out acquisition FX, looks like your looking at about 9% or 10% organic growth for the full year. Why the deceleration in organic growth? Are you guessing some softness in the back half of the year for the rest of the quarters? Can we just talk about that?
Martin Loeffler: Well we just delivered a very strong first quarter. We are very confident about the growth in the second quarter and as we always look into the future, economic conditions are somewhat uncertain. aAnd therefore we are looking with some more prudent into the second half. Whereby, we do not see any reason for this but at the same time the goal and the guide is very high. And in such an environment may not be the most prudent thing to do at this point in time. On the upside obviously we are always looking for this. But I think at this point in time, we have a very strong guidance for the year.
Amit Daryanani - RBC Capital Markets: One of the things that investors seem to always be concerned about on an organic basis are margins which seem to have been peaked at Amphenol. Could you just talk about what is the target, if you hit the 20% margin goal you have on a corporate level, what sort of margins would the connected business run at and by extension, if you just talk about the acquisition pipeline? Are we more inclined to do bigger deals versus continued bolt on deals at this point.
Martin Loeffler: We have a lot of questions and I have consolidated, I am sure that is in the minds of many of the others. First of all on the margin side, I think Diana mentioned that on the interconnect business our margins are above the 21% level. As you all know we have operations that perform at a higher level and it certainly continues to be our drive to go at the higher level. The environment at this point in time, in the short term, is certainly a very challenging one with pricing environment where the customer still not have realized that there is a pent up need to raise prices overtime. But in other industries we have already seen explosive increases in pricing. We will probably see some moderate ones in the connect industry starting to release somewhat the pressure that came from the bottom, from the materials and the commodity prices in the past. So we are confident in our own ability. So it is remarkable to be able to achieve these high levels of margins with the kind of pressures that we have on price which were more price reduction rather than price increases in the past. And at the same time, having to absorb these material costs which a tribute to that fact that we have good cost reductions on an ongoing basis and place and we have run a very lean organization. So as far as the acquisitions are concerned, we are looking and researching over these smaller companies that we can find ourselves. And they have been good additions for Amphenol and will continue to be so. We have not seen yet any bigger ones coming on the market but if they come, please let us know. We are always interested.
Amit Daryanani - RBC Capital Markets: Alright, thanks a lot and congratulations for the quarter.
Martin Loeffler: Thank you.
Operator: Thank you. Our next question comes from Matt Sheerin with Thomas Weisel Partners. Please go ahead.
Matt Sheerin – Thomas Weisel Partners: Yes thank you and good afternoon. Question for Martin and Diana regarding the materials cost. You talked about price increases in the cable business. It sounded like you said you may increase prices on the connector business. How successful or what is your ability to do it within some of those segments? And if you could talk about some of the raw materials specifically gold, copper and other things that you have seen gone up. And what is the lag effect between what you see from spot prices and your suppliers hitting you with those costs?
Martin Loeffler: That is a very broad question. Thank you very much. Let me just respond relative to the cable side that you asked earlier. Obviously, we have announced the price increase. This price increase of 7% to 8% will mitigate some of the material cost increases that we have seen. It does not really offset them because material cost have been going up over the last two and a half years very significantly and certainly changed the margin potential in that business so far. But certainly it gives us some opportunity at this point in time as material cost just have gone higher and stay at that higher point. As far as other segments are concerned, I would like to ask Adam maybe to give some comments relative to that.
Adam Norwitt: Relative to commodity pricing in the connector business, obviously we see all of the same commodities going up as you do, copper, gold and plastics. We are really looking in it in two ways. One, is to look at pricing and we are certainly taking strategic pricing decisions across all of our businesses and those areas were there is room to do so. Obviously it is subject, as Martin said, for this kind of pent up inflation. At the same time, our operations are taking quite a look at redesigning our products and trying to design out the materials that are creating these headaches.
Matt Sheerin – Thomas Weisel Partners: Okay, and just given some of the softness in some of the end markets, although it sounds like your still taking share, but is it more difficult to ask customers for price increases when we have seen some spots softness in some areas?
Martin H. Loeffler : Always a difficult question to raise with the customer, the price, in good times and in difficult times, and there are certainly a hungry situations. But I think we should also always consider the situation that pricing goes along with the right pricing on new products that we are introducing which does not directly head on compete, at that point in time, on a kind of standard product. So that is one element that we have in advantage of others, that we have this higher value added performance enhancing products that gives us higher margin potential as we go, even if pricing is an issue, to battle everyday on just commodity prices along side with commodity suppliers. I think our drive for value added solutions is certainly helping our margin even in this difficult environment.
Matt Sheerin – Thomas Weisel Partners: Okay thanks and just my follow up regarding your handset business where you have had very strong growth. Could you talk about where you have seen that market share growth, is it within some specific handset customers or have you seen dollar content issues or you have been just alligned with the right brands here that are taking share?
Martin H. Loeffler : Well that is a very good question and Adam is very close to this and maybe you want to answer.
Adam Norwitt: Yes absolutely, I think our growth in handsets has really comes from having a very broad spread accross all the platforms. I could not point to one specific platform or program. Our strategy in handsets has been and will continue to be to really gain design ends on all of the major platforms at all of the majors OEMs. And certainly we have broadened our presence on the build and materials with the portfolio products which include connectors, hinges and antennas and especially on smart phones which we see good growth on. But in general we try to be present on all of the platforms.
Matt Sheerin – Thomas Weisel Partners: Thank you very much.
Operator: Thank you, our next question comes from Steven Fox with Merrill Lynch. Please go ahead.
Steven Fox – Merrill Lynch: Hi good afternoon! You have mentioned a couple of interesting second half opportunities and new programs on the auto side and also broadening out with TCS products in I guess just getting just getting more content. I was wondering if you could just expand on that and give us a handle on how significant that could be for the second half?
Martin H. Loeffler : I think the importance of this is not necessarily the significance in revenues but the significance that what we intended with TCS to do is not just continue the business as it is, but clearly create opportunities for more integrated solutions. And I am just very excited about the fact that we have seen major programs that some major North American customers as well as international customers where that has broken in and where we see the design wins of those generations. There will be a start up in the second half of this but also going into 2009 which will help us moving forward. So this is going to be exciting. On the automotive side it is different. On the automotive side we clearly won a few additional customers with new products where we have a ramp up starting in the second half, which clearly can contribute to our automotive growth in the second half, probably offsetting some of the moderation of the corporate production in general that may happen in the United States or elsewhere in the world. That is why we are a little bit prudent at this point in time to see how that shakes out with the corporate production in general. But the excitement is that we have added two significant customers that we did not have before.
Steven Fox – Merrill Lynch: And is the auto wins still related mainly to safety or is it expanded into other parts of a vehicle?
Martin H. Loeffler : Well the initial one that is starting up in the second half of this year is related to the safety devices principally. But other ones that we wanted are on the highbred side that will really will go in 2009 and full production probably only in 2010. But we have created a very very broad presence in that0 emerging opportunities out of the automotive market with a variety of new products and a variety of customers.
Steven Fox – Merrill Lynch: Great, thank you very much!
Operator: Thank you, our next question comes from Aaron Sack with Morgan Stanley. Please go ahead.
Aaron Sack – Morgan Stanley: Great, thank you! I was just wondering if you could talk a little bit about your operating expenses leverage? I am impressed that you are able to hold down your dollars as G&A in the March quarter. Do you think you can hold that relatively flat in dollar terms if you keep growing the business or is there a need to spend SG&A?
Diana Reardon : We looked at our SG&A from our return on investment stand point the same way we looked at every other dollar that we spend. So we are certainly careful in terms of when we add expenses and I think you see some of that in the fact the SG&A rate has come down over the past year to round that 13% level. However when the business expands and we are projecting expansion in Q2. As an example, expenses like R&D in sales and marketing, we would expect some growth is those because they do have some relationship to the volume of the business. So I would not expect that from a dollar stand point, SG&A would stay flat. But I would expect that as we go along during the year, we could, as a percentage of the sales stand point, see those that SG&A expense level continue to tick down some.
Aaron Sack – Morgan Stanley: Okay, great. And then as we see the cable price increases go through, what will you be thinking about as for the cable operating margins. Is really just a straight offset to higher commodity cost or could we see that operating margin get back up to the 12.7% where you were a few quarters ago?
Diana Reardon : 12.7% is not so sure, but I think we would expect to see some improvement in margin in the second quarter. We will have some increase from the volume stand point and the price will have some plus, although that will be partially offset by higher material cost. But I would think we would get back some of that margin, but probably not up to that 12.7%.
Aaron Sack – Morgan Stanley: Okay, great. Thank you.
Operator: Thank you, our next question comes from Will Stein with Credit Suisse. Please go ahead.
William Stein – Credit Suisse: Thanks. Because it seems you’re addressing margins in the cable business on a little bit less optimistic tone here. Its at the lowest level in that years. I recognize that that is likely perhaps entirely due to raw materials but I am wondering with this price increase that is coming in this month. Should we expect that to kind of keep the operating margin at the level that we saw on this quarter or should we expect it to rebound back over 12% any time soon?
Martin H. Loeffler : Well I think we just discussed this point but I would like to just reiterate that obviously we are as the second in the market, second position in the market following the lead in terms of pricing. And we have done so in a very disciplined way I think over the years. Still we have not yet caught up with the cost increases in the past and with this price increase that we are getting, obviously we are hoping to get some margin expansion in the second quarter with the first quarter. But we do not know what the material cost will do in this quarter, in the quarters day after,. But right now we expect that it will mitigate some of those increases that we have seen in the first quarter. And therefore we expect some margin expansion in the second quarter.
William Stein – Credit Suisse: Okay great, then Diana maybe you can help us with the buy back. Seems there is a change in the cash strategy into this quarter. The buyback was much bigger than the past. Can you tell us what the current authorization is, what is left, what is the strategy going forward on that?
Diana Reardon : Sure. I do know we increased the buyback program earlier in the quarter to provide up to the purchase of about $20 million. There is about $8 million shares left as we exit the quarter. We increased the program because it looks like there maybe some opportunity, given markets, to perhaps take advantage of the bigger buy back in the first quarter and I think we were able to do that. So what we buyback in the remaining quarters of the year will depend upon what other needs we see for cash flow and will be largely dependent upon the acquisition program and what we see coming along there. But certainly the stock buyback is one of the important uses of the cash and we will continue to look to see what makes sense between that and executing on the acquisition program.
William Stein – Credit Suisse: Great, that is it for now. Thank you.
Operator: Thank you, our next question comes from Carter Shue with Deutsche Bank, please go ahead.
Carter Shue - Deutsche Bank: Good afternoon. I wanted to maybe touch on Adam’s presence here. He has been in the company, the President for about a year now, obviously with the company a lot longer before that. And now he is joining the quarterly conference calls, so maybe this is a good time, Martin, to maybe share with the investors your thoughts on management succession?
Martin H. Loeffler : Management succession is always a topic in any organization. I think we have made the decision last year to have a Chief Operating Officer. The company has grown to over $3 billion. It used to be five years ago a billion dollars. It is very natural that Amphenol is expanding its management team. They have done this also below Adam as you know with the group executives that we have appointed which we did not have previously. In some areas we have today, mini-Amphenols that have $500 million to $600 million. Groups the size of total Amphenol, just not at a far distance, so it is very natural that Amphenol has added resources. But if you look at the total headquarters, we are at 42 to 45 people still and therefore we needed some strengthening at the headcount this time. We did this. In addition, Adam is very much focused on things that have created value over the last 15 months that he has been in charge. And he will continue to do this as we move forward. It is important though that the investors understand that the management team of Amphenol over time is growing. It is not just Diana and me and that there are others who contribute very very strongly to this company. And we never had an investor’s conference, but if we ever had one, you would see nine group executives really talking and speaking very strongly about the company, their passion for the business and their understanding of the business, the longevity with the business. So if we expose Adam today, it is just a small indication that the Amphenol team is a very strong and broad management team that our investors can rely on for a long period to come.
Carter Shue - Deutsche Bank: Great, and the follow up question, can you maybe talk about what you see as the largest opportunity on a total dollar basis for share gains on a going forward basis, maybe the next two to three years. Is there any market that you are particularly excited about and your ability to gain share versus your competitors?
Martin H. Loeffler : We are participating in seven major markets today they are all global markets. And each of these markets has its opportunities, and each of these markets has its ups and downs, and each of these markets for us represent the continued opportunity for growth, why? Because we are applying the same methodology at each of these markets that means we are looking for technology, the high end of value add that we can bring to our customers in each of these markets. We have tailored our resources to really compete in each of these segments as almost a succinct business and that gives us a competitive advantage, even if the overall strategy is the same, technology and global presence driven and complemented by acquisitions.
Operator: Our next question comes from Yuri Krapavin with Lehman Brothers, please go ahead.
Yuri Krapavin - Lehman Brothers: Good afternoon, one question with respect to the Wallace infrastructure market, I believe that when you set your original guidance for ’08 back in January, you expected that segment to grow maybe mid single digits, given the overall muted tone of the market. And now in the first quarter, obviously grew much stronger than that, up 28% year-over-year,. So has your outlook for that particular segment changed materially as far as the full year ‘08 is concerned.
Martin H. Loeffler : I would like to ask Adam to respond to this. However just as a quick note, when we talk about the moderate growth, I think I may not have expressed myself clearly last time when I said the market is growing in single digit numbers. It was not really a reference to ourselves and the market continues to grow in single digit numbers. Why are we doing so good? Maybe Adam you would want to respond to that.
Adam Norwitt: Yes, good afternoon. What we really see in the wireless infrastructure market are two areas. One, is an emerging market where those markets especially China and India have done very well for us, but specifically on the cell site installation. And then we have made a lot of efforts over the last several years to design a new interconnect solutions on to new base station platforms. And we are fortunate that many of these platforms, this year specifically, some of these lower cost modular base stations have seen volumes a bit in excess of even what the OEMs have forecasted. So with both of these, we see in this market quite some strength in the first quarter and relatively good outlook going forward.
Yuri Krapavin - Lehman Brothers: Great. And then in the automotive market growth was 15% year-over-year, a big chunk of that is probably currency translation. Can you give us the growth rate in X currency?
Diana Reardon: Sure, I think about, maybe two-thirds of the growth or so is foreign exchange roughly. So maybe it is 5% to 6% without the currency.
Operator: Our next question comes from Jeff Beach with Stifel Nicolas, please go ahead.
Jeff Beach - Stifel Nicolas: Good afternoon. Another question back on the wireless networking. moderate growth you have expected. What do you see as the trend of growth in the industry as we go through 2008 and into 2009. I am hearing about a lot of increased deployments that are entering the market.
Adam Norwitt: Jeff, I think what we see in the market is continued among the OEMs, moderate single digit growth, but a shift really in some of the platforms, the platforms that are beneficial for us. So as I said we see more low cost base stations going into emerging markets like India, like Africa, like China. We see also some acceleration of next generation platforms. We have seen many of the OEMs releasing for example their LTE platforms for base stations. We work very hard to make sure that we have the broad penetration on these as well.
Operator: Our next question comes from Shaun Harrison with Longbow Research, please go ahead.
Shaun Harrison - Longbow Research: Good afternoon. Just to follow up on the acquisition environment, maybe you could touch on what end markets you are seeing maybe potentially more opportunities or what end markets you would like to expand your presence in over the next 18 months through some strategic acquisitions.
Martin H. Loeffler : I have to respond to this, Adam has been working very diligently on this pipeline. Just in general, we are interested in complementing our strength in each of the market segments. So we are not singling out one or the other, but obviously fiber optics is an area that becomes more and more important for us in the future. The value-add, especially in the aerospace and the industrial markets, is important. Our presence is a value-add in the communications related market is already strong. So we are expanding those, thus the acquisition in the first quarter of this year. But Adam has more insight to this and is going to give you more color on this.
Adam Norwitt: Our acquisition strategy has not changed. We continue to look for companies with good management and with good market positions and good technology. And I think that does not confine to one or other of the seven markets that we see, But as Martin said, there are certain markets where there may be more opportunities than where we can focus our efforts. The Industrial market certainly is one where we have some focus as well as in this value-add markets that Martin mentioned.
Shaun Harrison - Longbow Research: Within the acquisition opportunities, are you seeing more possibilities with smaller players that are maybe having greater difficulty with the raw material cost environment and so they are looking to get out in this type of market place?
Adam Norwitt: I do not know if that has been necessarily a driver. I think every entrepreneur has different motivations for when he or she is going to sell the company. But we certainly see interest from many entrepreneurs at this time to join Amphenol for many of the reasons that we have seen in the past. Customers are reducing their supplier base, the globalization demands on a smaller enterprise are just too challenging for them to tackle that by on their own. And so we are able to help them in many of these respect.
Shaun Harrison - Longbow Research: Okay then two quick follow up questions. Maybe if you could come just comment on what you are seeing in inventory positions, both in distribution and at the contract manufacturer level. And then secondarily, just looking at the debt to cap ratio, maybe what would you be comfortable in taking that up to?
Adam Nowitt: Let me just take the first question relative to inventory. Diana is going to focus on the second one. In the inventory side, on distribution, I think in general is in line with the business levels that we have that maybe one or the other distributor who has bought a little bit more in the fourth quarter and phasing that out. But this is very isolated. I do not want to say that this has any impact of materiality on the company. At the contract manufacturers we do not see at all any build up of inventory at this point in time. As far as our products are concerned I could not comment on any other products. So I do not think that if business levels remain at that level, a risk relative to inventory.
Diana Reardon: From a debt to cap stand point, I think we do not have a specific level in mind clearly. We have more levels in the past than we have today. If the right opportunity came along from an acquisition standpoint, we would certainly evaluate that in all of its aspects at that time and that would include taking a look at how we would fund and a portion of that could probably be leverage.
Shaun Harrison - Longbow Research: Okay, thanks a lot and congratulations on the quarter.
Operator: Thank you, our next question comes from Jim Suva with Citigroup. Please go ahead.
Jim Suva – Citigroup: Great, thanks very much. Can you quickly give us a little more details. I found this acquisition very interesting in the aerospace sector. Is it in the commercial side, in the military side, and It seems like it is pretty small. Do you view this as an opportunity really to get some good synergies and much bigger scale and scope from this?
Martin Loeffler: It is a very fine company. Actually it was just a week ago and a very fine management team and excellent technology and has provides a nucleus for excellent expansion beyond what they are doing. And Adam knows the company well, he has acquired it, so maybe you want to comment on this.
Adam Nowitt: Yes this company certainly has a strong presence among European aerospace companies specifically in helicopter and other aviation areas. We view it as a platform. It is not a huge company but it is certainly is a platform for us to expand our value added activities in the aerospace and to get some of those capabilities and move them into other regions.
Jim Suva – Citigroup: Great, and then as a follow up on a slightly different topic but when you talk about product price increases that are rolling out in April as opposed to like immediate when you announce it. How do you prevent pre-buying and customer stocking ahead of that?
Diana Reardon: The cable price are actually implemented on all products that are not shipped. So ordering ahead but not taking the delivery of the product does not allow one to escape the pricing change if you want to look at it that way.
Jim Suva – Citigroup: Great, thank you very much and congratulations on a great quarter!
Operator: Thank you, our next question comes from Amit Daryanani with RBC Capital Markets. Please go ahead.
Amit Daryanani – RBC Capital Markets: Thanks! Just a few quick follow ups, Diana on the tax rate, do we expect to stay on 29% or is there a room to take a down through ‘08?
Diana Reardon: I think 29.5% is what we got into as the beginning of the year is still I think what is included in our guidance now. We are certainly working on the tax rate. There were as you may know, taxable changes in China that have increased the rates there and that is certainly a pretty big head wind in terms of trying to get the rate down more. But we continue to work on it.
Amit Daryanani – RBC Capital Markets: Just from an acquisition perspective, when you guys talked to the potential candidates in the pipeline, I am just curious given what is going on in the markets right no. Are you starting to see valuations starting to compress because of lack of private equity interest. And conversely, are you seeing some of these private companies becoming apprehensive given what is going on in the end market and just saying, ‘you know what, I will deal with this potentially selling my company in two or three years later when things stabilize?’
Martin H. Loeffler : I think in general, you have a combination of all what you have said, but may be Adam, you want to give some more comments on it.
Adam Norwitt: I think, a lot of the companies that we have followed through our acquisition pipeline. There is not necessarily among the entrepreneurs such a dramatic reaction to the markets that are out there today, and certainly there are some companies that are held by financial sponsors and those sponsors maybe less inclined to divest them in these market conditions. But in terms of the tuck-in acquisition program, we have not seen noticeable changes in terms of either the parties that are competing for these deals or the motivations of the entrepreneurs. Many of these companies are not through auction processes, so they are actually companies that we really have incubated the relationship with them. And so the availability of private equity capital into those deals is not so material.
Operator: I show no further questions.
Martin H. Loeffler : Well, we are glad that we could answer many of the questions that you had on your minds. Again, we had a strong quarter and we continue to work hard to make second quarter even stronger than this one. We thank you all for your interest and look forward to talking with you in more detail. Goodbye.
Operator: Thank you for tuning in today’s conference and have a nice day.